Operator: Good evening. And welcome to the IDT Corporation’s Second Quarter Fiscal Year 2022 Earnings Call. In today’s presentation, IDT’s management will discuss IDT’s financial and operational results for the three-month period ended January 31, 2022. During prepared remarks by IDT’s Chief Executive Officer, Shmuel Jonas, all participants will be in a listen-only mode. [Operator Instructions] After Mr. Jonas’ remarks, Marcelo Fischer, IDT’s Chief Financial Officer and Jonah Fink, Chief Executive Officer of IDT’s net2phone business will join Mr. Jonas for Q&A. Any forward-looking statements made during this conference call, either in the prepared remarks or in the Q&A session, whether general or specific in nature, are subject to risks and uncertainties that may cause actual results to differ materially from those which the Company anticipates. These risks and uncertainties include, but are not limited to, specific risks and uncertainties discussed in the reports that IDT files periodically with the SEC. IDT assumes no obligation either to update any forward-looking statements that they have made or may make or to update the factors that may cause actual results to differ materially from those that they forecast. In their presentation or in the Q&A session, IDT’s management may make reference to the non-GAAP measures, including adjusted EBITDA, non-GAAP net income and non-GAAP earnings or loss per share. A schedule provided in the IDT earnings release reconciles adjusted EBITDA, non-GAAP net income and non-GAAP earnings or loss per share to the nearest corresponding GAAP measures. Please note that the IDT earnings release is available on the Investor Relations page of the IDT Corporation website. The earnings release has also been filed on Form 8-K with the SEC. I will now turn the conference over to Mr. Jonas.
Shmuel Jonas: Thank you, operator. Welcome to IDT’s earnings conference call. I'm joined on the call them by Marcelo Fischer, IDT’s Chief Financial Officer and Jonah Fink, CEO of net2 phone who was prepared to do these calls on his own. The three of us will be available to answer questions after my remarks. My discussion today will focus on the second quarter of our fiscal year 2022, the three months ended January 31, 2022. For a more detailed report and discussion on our financial and operational results, please read our earnings release filed earlier today and our Form 10-Q that we expect to file with the Securities and Exchange Commission on Monday, March 14. Our second quarter financial results were highlighted by year-over-year improvements in gross profit, income from operations and adjusted EBITDA driven by the continued expansion of our growth businesses. In our FinTech segment NRS accelerated the growth of its customer base activating nearly 1400 new POS units and 1200 NRS pay accounts during the quarter. As of January 31, NRS serve 16,500 active POS terminals and 8000 NRS pay accounts. NRS’ recurring revenue increased 118% from the year ago quarter to $9 million led by triple-digit gains from advertising and merchant services revenue. For purposes of sequential comparison, keep in mind that our second fiscal quarter includes January, which is invariably, the slowest month of the year by far for advertising revenue. We are still in the early stages of NRS development in terms of our addressable markets, new service offerings and monetization of our current offerings and net2phone subscription revenue increased 32% year-over-year to $12.5 million in the second quarter of 2020. Growth was strong in our Latin American markets, particularly in Mexico where we continue to find success with larger customers. Net2phone reach into the mid enterprise market will expand significantly in the coming quarters as we leverage the Integra acquisition that closed just last week. Integra is a fast-growing CCaaS provider with an entrepreneurial team. We're delighted to welcome them to the IDT family, we will incorporate Integra’s CCaaS service with net2phone UCaaS solutions to create a higher value integrated offering that we expect to drive growth and significantly enhance net2phone's unit economics as we become more competitive of market. We expect to pay a total of approximately $15 million in cash and stock for Integra inclusive have an earn out of approximately $3.5 million as the business growth as we expect to grow in the next few years. In calendar 2021, Integra generated a little over $3 million in revenue and $1.2 million in EBITDA. Integra’s CCaaS ARPU is approximately twice that of net2phone’s UCaaS offerings. Our goal is to complete the spin off by the end of the current fiscal year on July 31, should our Board authorize it. Also within our FinTech segment, BOSS Revolution, Money Transfer transactions increased 21% year-over-year, while revenue decreased 6% to $12.5 million. On an apples-to-apples basis adjusting for the impact of transitory foreign exchange and improved second quarter fiscal 2021 results, transactions in the second quarter of fiscal 2022 would have increased 36% and revenue would have increased by 48% from the year ago quarter. We continue to invest in the long-term growth of our payments business with the acquisition of Leaf Global Fintech, a startup with an innovative mobile wallet platform operating in Rwanda, Uganda and Kenya. Leaf was designed to help traders, refugees and other vulnerable populations store value and conduct financial transactions safely and securely by leveraging the stellar blockchain network to track balances and activity. Leaf also uses USSD communications protocol, it's also a viable option for 2.4 billion people worldwide, who use feature phones rather than smartphones. We are excited to work with leads and hope that their team adds lots of stuff to IDT over the coming years. Finally, in our traditional communication segment, revenue decreased 3.2% year-over-year to $300.4 million. However, revenue less direct cost of revenue for the segment increased 6% led by the expansion of our Mobile Top-Up business. While still growing 20% year-over-year, mobile top-up revenue has declined over the past three quarters. The decline was predominantly in our lower margin wholesale B2B channel where we capitalize on the large opportunity during the third quarter of fiscal 2021 that's significantly boosted Mobile Top-Up revenue, but which since has narrowed considerably. We continue to believe that there is large opportunity in Mobile Top-Up and we expect to return that channel to growth mode soon. Also within our traditional communications segment, both BOSS calling IDT Global which is our wholesale carrier services business experienced an acceleration in the rate of revenue decline, reverting back to levels we were experiencing before the COVID pandemic. To wrap up, we continue to allocate capital to accelerate the development of our growth businesses but through R&D and acquisitions concurrently, our traditional communication segment continues to generate increasing margins, and robust cash flow. Across all our businesses, we remain focused on creating value for our stockholders and expected to spin off net2phone will be exceptional in that regard. Now, Marcello, Jonah, and I will be happy to take your questions.
Operator: We will now begin the Q&A session. [Operator Instructions] The first question comes from Brian Warner, Private Investor. Your line is live.
Brian Warner: Actually I had three if I could. First one is on NRS, you've done a great job with advertising. And frankly, I'm surprised how well it's done and I congratulate you. But I'm wondering kind of a couple of things. Are you surprised how well, it's done? And can you give a little color on how you're selling it? And if there's anything change in your plans there and you're selling direct to large advertisers now and just sort of maybe you can give your thoughts around that. Second question relates to your UCaaS business, I'm just wondering, if there's pricing pressure that you're seeing in that business, maybe you can contrast that question in both USA and international operations. And then also, if you could give us a sense of where you're trending in terms of maybe average account size for a number of lines, stuff like that. And lastly, if there are any material hurdles to the spin off in your mind. And then finally, on the money transfer business, it's just a little confusing for me to sort of try and reconcile all the various numbers. I realized there was a very unusual transaction a year ago. But can you give us a little bit sort of the puts and takes, you point out that the revenue would have been up? I believe it's 48% and the units would have been up maybe 46%. I'm wondering given sort of reconcile the difference between those two numbers and maybe just give a little color around the calculation.
Shmuel Jonas: Okay. I’m going to try to answer your questions in order as I remember them. As far as the advertising sales for NRS, I don't believe that anything has changed in the way that we sell it, or our expected growth for that business. So there's no material change. As we said in the earnings release, there is some seasonality to advertising in general. And that's why year-over-year comparison is better than a comparable than a quarter-over-quarter comparison. However, we are making an attempt to -- I would say, increase our direct to brand salesforce. So we hope that will increase the advertising sales over the coming quarters as more brands hear about us. I'm actually going to let Jonah take your question on net2phone so I would warmly like to welcome Jonah Fink to our earnings conference call and take it away.
Jonah Fink: Before I respond to the question. Firstly, I just want to thank Shmuel and Marcelo, for inviting me on today's earnings call. I'm honored to introduce myself formally to our valued IDT Net2Phone communities. I'd also like to take this opportunity of thanking what we've coined internally net2phone world. Net2phone has now successfully launched our UCaaS product line in nine markets around the world. And it's due to the net2phone employees that have really brought us to this point. And as we can discuss shortly a big welcome and virtual hug to our new members in Montevideo, Uruguay at Integra. To answer the two questions specifically in terms of number one pricing pressure, we are not what we've been able to do is really maintain and sustain ARPU levels for net2phone UCaaS. We look at ARPU very, very carefully as an operational KPI in our dashboards. And like I said, we've been able to maintain and sustain pricing ARPUs around the world. In terms of user size, currently today average user size for UCaaS net2phone is set to 11. But we do expect because of the CCaaS offering, that CCaaS will not only create a value in and of itself, we also expect a lift rate into our UCaaS business as we have an experience for our customers to get one bill at the end of the month for both UCaaS telephony and CCaaS.
Shmuel Jonas: What was your third question before I turn it over to Marcelo to answer your money transfer question?
Marcelo Fischer: I think your question was regarding the timing of the spin off [indiscernible] around that? Well, the answer is no. Obviously, we wanted to start the process a bit earlier. But because of the Integra acquisition, which is material for netphone on a standalone basis, we had to wait until that acquisition process completion. Now make sure that we get audited financial statements for the standalone Integra business, which will be incorporated into our registration statements. So now that's behind us, because now we focus and try to get this spin-off done now by the end of the fiscal year.
Brian Warner: I see.
Marcelo Fischer: Okay. In terms of I think, I believe on your question about money transfer. So indeed, Q2 one year ago, as we had mentioned multiple times before, benefited significantly from special FX opportunities, particularly in Africa. Those opportunities that we have in the past are behind us. So when we look more apples-to-apples to what would have been -- business a year ago versus now, you would think revenues growing about 48% year-over-year. That fee revenues growing around 55% to 60%, FX revenues growing around 45% rates on a blended basis, that 48% rate that we shared with you. Obviously, our B2C money transfer business is growing at a much faster clip than our retail channels, our D2C is growing at around 55% rate year-over-year whereas retail grown around 35% to 40%.
Brian Warner: Great. Thanks so much.
Operator: The next question is coming from Jason Lustig with J. Goldman. Jason, your line is live.
Jason Lustig: Jonah nice to have you on this call. Can I start out by asking you a little bit about the Integra acquisition, the strategic rationale and how you -- how it folds into net2phone and your strategy?
Jonah Fink: Yes, Jason. Absolutely hope all is well. So I'm thrilled to announce the acquisition of Integra by Net2Phone. Just in terms of the what, let's start with the what, net2phone, Integra is not only a complete, modern and robust cloud-based contact center solution. Integra is also a developer platform that will allow for items such as customizations and integrations in AI, more for the modern global contact center workspace. So really, next phones getting into the foray, Jason, selling experiences. The acquisition in general made a ton of sense for us for a variety of reasons, one, and most importantly, our UCaaS customers and partners are asking for a cloud-based contact center solution hosted by net2phone, it feels almost on a daily basis. Our customers love the idea of having a single invoice at the end of the month for all their cloud-based communication needs. UCaaS plus CCaaS all under net2phone. Just as businesses across the globe have migrated and are migrating their on-premise communication systems net2phone over the cloud. So two contact centers and enterprise-based call centers will be migrating to net2phone via the cloud as well. On a single bill to our valued customers net2phone will be serving the complete enterprise needs for UCaaS, telephony and CCaaS. And Jason as you know, over the past five years net2phone has built one of the most efficient UCaaS distribution businesses in the world, Net2phone continues to act global and think local. And we've deployed talented teams locally in these markets to now have conversations around to go-to-market for CCaaS. Net2phone has also forged over the past five years significant partnerships with leading master and direct agencies for cloud communication services. Net2phone continues to onboard new partnerships in the space with leading master agencies such as Avant, based in Chicago that has a wonderful and current might I add foray into the UCaaS and now CCaaS market in that segment. The above stated allows for quick and efficient go-to-market, sales teams are in place, support teams are in place and the customers and partners are eager to adopt our net2phone technologies.
Shmuel Jonas: I'll just add two things to it is, one is that we did business with Integra before, we entered into a transaction with them. So we had some firsthand dealing with them as a partner, before they became part of the net2phone team. And from everything I heard directly from, the team using them, they were really great partners before they became part of the team. The second thing that I think that's important to add is that, they've also developed everything internally. So besides this being, a talented sales organization, it's also very talented development team that we think we can leverage to enhance net2phone overall. So it's multifaceted in my opinion, not just from being a call center solution, but from also being general technology solution for net2phone.
Jason Lustig: Okay, great. And I guess, moving to NRS. And just a few questions about, you guys have given great disclosure about revenue and the various line items over time, can you talk a little bit about how we should think about gross margin, and maybe also the difference between the hardware gross margin and the recurring revenue, gross margins?
Marcelo Fischer: Hi, Jason. It’s Marcelo. When you think about NRS’ recurring revenues, whether it's SaaS fees, or advertising and data, or merchant services for all those revenue streams. Our margins are approximately close to 100%. When we talked about the margins on the POS, on the POS sales, obviously our goal is not to achieve high margins, our goal there is just to distribute the POS now in strategic ways. We price it differently depending on different opportunities. But historically, the margin on the POS terminals have ranged anywhere between 10% to 20%. So when you add the two -- all this together, now you probably see a blended rate of about 85%, 90%. And obviously that blended rate will continue to move further towards 100% of the recurring revenue the technological portion of the business.
Shmuel Jonas: Yes, however, we intend to allow more POS, so that might pull down a little bit.
Jason Lustig: Can you talk about that? I mean, it seems like there was, the net ads for POS seem to have taken a large tick up in the quarter, which is very nice to see. Can you talk about some of the changes that have gone on in the business that have allowed for that step-up?
Shmuel Jonas: I can see two things, I mean, one is, increase in sales, and that has definitely helped. The other thing is in terms of making sure that we don't have any churn. There's nothing we can do about, a store going out of business. But, we really have put an emphasis on the service that we provide, the stores, and that's really been helping, keeping, churn to as low of a level as it has, and we continue to make improvements. When a business is in rapid growth mode, it's sometimes hard to, I will say solve every piece of the puzzle. But I really give the NRS team credit, because they've really put a big emphasis on making sure that the service levels are where they need to be considering the growth.
Jason Lustig: Great. And then, I guess, just lastly, what was the adjusted EBITDA for NRS in the quarter?
Marcelo Fischer: For NRS, they did around a little more than $2 million in EBITDA, for the quarter, so it is showing pretty nice growth compared to about 1.25 million in Q1. So the trajectory is good. And obviously, that EBITDA may vary up and down, depending on whether we accelerate investment or not, but all else being equal, we should see that EBITDA trend continue to move upwards.
Jason Lustig: Great. Thank you very much for the questions.
Operator: The next question is coming from David Polansky from Immersion Investments. Your line is live.
David Polansky: Hey, guys, thanks for taking my questions. And I really appreciate it. I think everybody else does appreciate you putting a hard date around the net2phone spin. But I actually want to talk about traditional a little bit and I think you almost answered my question in the commentary, do you anticipate being able to grow traditional EBITDA on a go forward basis?
Shmuel Jonas: I mean, I would say that different parts of traditional are growing and different parts of it are contracting, carrier is not in growth mode. We definitely intend to be able to squeeze out more profit from PIN-less than we have been and [indiscernible] continues to grow. So, I would say that, net-net, we do intend to be able to continue to grow EBITDA, whether or not we can, do that for years and years to come. I can't tell you at this point. But maybe I'll let Marcelo to address.
Marcelo Fischer: Yes, I mean, David, tradition consists of three distinct primary business, right? The reality is, when we think about the wholesale carrier business, that business revenues and operational margins have been challenged ready for quite a while, even during the pandemic, the wholesale business suffered quite a bit. We have been maximizing that business in terms of generating maximum gross profit. Similarly, on the BOSS Revolution PIN-less business, we got a fairly nice lift and a reversal of the trends during the pandemic. Now, the trends towards revenue start to decline again, have come back again. That being said, gross profits for PIN-less have not been impacted significantly at all. And that's both because of cost for termination have improved, as well as our mix of our revenues shifting more towards our b2c channel, which is higher margin helps mitigate the revenue decline. So at the same time, Mobile Top-Up continues to grow quite nicely at 20% year-over-year and we have seen a nice growth specifically in the b2c channel, we see Mobile Top-Up. So there's [indiscernible] on revenue, I think there will be tremendous focus on trying to maintain the gross profit around the current levels. And as we continue to be the greater focus on reducing the cost structure, both have generic CapEx, we may be seeing, I wouldn't say that the salary improvement in EBITDA, perhaps we will get Mobile Top-Ups as going a little faster. But certainly, we hope to maintain the current EBITDA levels until mobile top-up start showing more in the bottom line.
David Polansky: Okay. So basically, if I flatlined EBITDA for the remainder of the year, I have traditionally thought about $100 million business. I have fintech, which is roughly breakeven, I've net2phone at negative 15 million in EBITDA, which is going to be gone in several months. So pro forma, I'm looking at a business that today, including net2phone is 700 million in enterprise value. I have 100 million in EBITDA, because I'm getting driven net2phone. And then I have NRS, which, as you just disclosed in a previous question is actually EBITDA positive and growing 100% year-on-year, and quickly on its way to towards 75 million, 100 million in ARR. I mean, you can kind of put whatever valuation multiple you'd want on NRS. And basically, the pro forma value for all of IDT, post spin is like, three or four times. So I guess, like how low does the stock have to go before there's like some action like you do a buyback, you accelerate the NRS spin, and you pull it forward a little bit and say, the stocks too low, it's too cheap. We need to realize some value here, because it -- the stock fell like 10%, the other day on the Integra acquisition on some ridiculous belief that, you wouldn't be able to affect the spin because, oh, well, they're doing an acquisition, so they're not going to do the spin, you clearly just told everyone that you're doing the spin. So I guess where I'm going with my question, it's like the market doesn't care, right? I mean, the market clearly doesn't care, they're not going to give you credit for anything. So at what point do we just say, screw it, let's just gobble up all of our shares, or accelerate and pull forward the NRS spin. So I guess that's where we come in from? So I appreciate an answer on that.
Shmuel Jonas: Yes. I mean, I don't think that we have a definitive answer on that. I mean, again as you know, we have purchased back shares before we say dividends before. And all options are always on the table. At this moment in time, we are laser focused on completing the previously announced net2phone spin, and making sure that investment continues to do really well, even when it's no longer under, IDT anymore. And we're also laser-focused on making sure that NRS continues to grow even more than it has previously. And that also takes additional investment in both time and resources. But if our stock continues to perform as poorly as it's done over the past couple of months, it's definitely not out of the question that at some point, we would start to either buy back shares or some other idea, but again, I don't want to say that we're going to do it because we haven't discussed it with our Board, and we do not have a plan in place at this particular moment.
David Polansky: Yes, that's okay. I guess where I'm coming from is just, clearly the execution is there. You're doing well, you're performing and more importantly, you're doing what you say you're going to do, which is effective right now, at least it's effective spin not too fun, and you're doing so that's why I asked.
Shmuel Jonas: And we think we're also putting net2phone on a really great foot with this acquisition. I mean, again, entering a space that arguably is significantly sexier than UCaaS is at the moment. I think is a major net benefit to our shareholders that unfortunately, they didn't see in the release. I mean, again, I was going to say that actually, before I forgot, when Jason asked this question, about Integra is that, we looked at their business model, I would say like without net2phone, and it was an amazing business model even before net2phone got involved. And I would say that, over the course of the next five years, it's going to look like a home run, irrespective of how well it gets integrated into Internet to phone. So I think it's actually a very, very exciting piece of news. That was unfortunately not loved by the markets but markets are weird. I don't know what else to tell you. I mean, listen and, frankly, speaking, we're also going through, I mean crazy time in the world right now, that I mean, I think is putting a lot of pressure on a lot of companies and we're very lucky that we don't have those kinds of financial pressures affecting our decisions. And that we can stay the course and make sure that we do do what we told our investors we were going to do. And we think that we'll be handsomely rewarded for that.
Marcelo Fischer: And, David, totally agree with your calculation that you provided before, just bear in mind that we do also have about $10 million of corporate costs, okay, which is a negative to the EBITDA number that you gave.
David Polansky: Yes, of course, still, I can split this a million different ways. This is an incredibly cheap stock, but the company -- a management team that's executing and there are catalysts and there are a lot of valuable assets in here. So I can spin it a million different ways for you. It's still cheap, but I appreciate the clarification. I do want to ask a follow up on Integra. Shmuel did you say that the revenue was 3 million or 30 million? Was that 3 or 30?
Shmuel Jonas: 3 million. It will be one way. But right now it's 3.
David Polansky: Okay. But it's doing 1.2 and positive EBITDA, right?
Shmuel Jonas: That's correct.
David Polansky: And you bought for 15 million, I think.
Shmuel Jonas: Yes. And not all of that is paid up front. I mean, that includes a larger amount.
David Polansky: That's great. Well, I love seeing it, keep doing what you do and talk to you next quarter.
Operator: The next question is coming from Sean Berger with Adirondack Retirement. Your line is live.
Sean Berger: Hi, Marcelo and Shmuel, congratulations on a good NRS quarter. Just question about two things. One is I'm wondering if there's any material impact from Eastern Europe as far as disruption of any tech support or employees or anything like that? And then, the other question is, if there's been any change in the reserves, for any possible legal settlements with regard to the straight path, litigation, that's it.
Shmuel Jonas: So I mean, the answer is unfortunately, like, we always joke that whatever happens in the world, somehow it affects IDT. And listen, we have a very large office in Belarus and we have some really, amazingly talented employees who work for us there. And I can tell you from speaking to many of them directly how they feel about Ukraine and how their government feels about Ukraine are completely different. However, that being said, it does create a very unstable environment for them to live in. And we are relocating many of them outside of the country, however, many of them do not want to be relocated. It has not affected any of our deliverables or our ability to pay people but it's definitely a moving target, I'll say, like that. And depending on what happens with sanctions, it could eventually affect us that at this moment in time it doesn't. I'm going to let Marcelo answer your second question.
Marcelo Fischer: Hi. No, we have not had any changes in terms of type of provisions or anything like that as it relates to any of our litigation.
Shmuel Jonas: Yeah. And I will say that we also have a number of employees in Ukraine, and we really feel for what's going on there. Obviously, on a personal level, these are our colleagues, but also from -- just watching the news is just terrible. So our prayers are with them.
Operator: Okay. Sean, do you have a follow-up question?
Sean Berger: No. That was it. Thank you. My prayers go out to the people as well. And I'm just wondering if there is any known business impact at this time. That was it. Thank you.
Operator: Okay. The next question is coming from Adam Wilk with Greystone Capital. Your line is live.
Adam Wilk: Hi, guys. Thank you very much for taking my questions. My condolences to your employees, who are having to deal with this situation. Hopefully, everything is okay. I guess one of the pitfalls of going last or toward the end of the line here is that most of the -- most my questions have been asked, some really good ones about net2phone and the acquisition and buybacks, et cetera. I guess I just have a couple of, hopefully, quick ones. I may have missed this, so I'm sorry if it's repetitive. But I'd like to dig in a little bit more to Mobile Top-Up, obviously still showing impressive growth numbers. And I'm wondering where you see things shaking out in a few years between wholesale versus the direct opportunity and the revenue split there? Because my sort of aim -- my direction in asking that is, I think the economics could improve materially for both Mobile Top-Up and traditional as a whole if you kind of push toward that direct channel and please correct me if I'm wrong? Thank you.
Shmuel Jonas: Well, I'm going to let Marcelo also to talk to it a little bit. But I mean I will say that listen direct definitely has higher gross profit than wholesale. That being said, there is cost of acquisition and that is usually in the, I'll call it in the early years or months depending on how lucky we are in terms of cost of acquisition, that can affect the ability to acquire customers at the rate that we would want for direct-to-consumer. However, really where we've seen pressure of late is really in wholesale business, not in the direct-to-consumer business. And I think that's a large part of that is based on some of the competitors that we've talked about recently getting large investments and them spending that money to try to make sure that we don't steal all their business, and that definitely has affected the wholesale business in the short term. However, that being said, we have some very exciting product launches that we think are going to really differentiate our wholesale business over the next couple of months, and we think that we are going to gain back a lot of that business. Marcelo, do you have anything to add?
Marcelo Fischer: No, just -- I think that our strategy for Mobile Top-Up under the -- under the leadership of Emilio is to continue to focus and grow both the B2B channel, as well as the direct-to-consumer channel does not independent of each other. I think that we have made large strides in improving our B2B wholesale platform. Our acquisition of Sochitel most recently have helped us towards that. They have a very robust platform for B2B. And we'll not be leveraging on that platform to position our products for better and faster growth in that space and to take more of our leadership space position in that area. And at the same time, Emilio continues to be very focused on trying to grow the catalog of products, trying to continue to leverage our offerings in our apps, as well as trying to penetrate not further especially into the African continent.
Adam Wilk: Great, thank you. That's helpful. And then you -- Jonah answered some questions about conference center services, the demand drivers there and somewhat the opportunity set. And I'm -- I guess I'm wondering just kind of as a follow-on to that. I heard when the question was asked about $3 million or $30 million in revenues, I think I heard Jonah chime in the background, when he said it will be $30 million someday. So maybe you can talk a little bit about, I guess just the conference center opportunity as a whole? It's not a not a fad that everybody's piling into and there is real demand there. And then may be -- it looks like I guess you paid around four times revenue excluding the earn-out for Integra. How did you kind of derive that multiple? And is that kind of like correlated to market conditions or any detail there would be helpful? And then maybe when we can see an impact to the P&L for that to burn? Thank you.
Jonah Fink: I mean just in terms of the opportunity, again, the same ways that net2phone-UCaaS has successfully migrated professional businesses over to the cloud. We see that opportunity now is the right time in the world that we live in for cloud-based -- for contact centers to move from on-premise to the cloud as well. As I mentioned before, we have sales teams and partnerships in place to cater towards that. The benefit down to the contact center is not only just the cost savings but being able to modify and configure and edit any type of settings for the contact center in the cloud instantaneously is a major value-add for these call centers to move over. And might I add, it's not just contact centers. But if you think of larger enterprises, and this is why we're very hopeful that our average user per account will increase with CCaaS. We have large enterprises with call center functionality residing within the enterprise for call queues, support, billing, sales. So that can also layer in very nicely to our UCaaS customers in terms of our partners as well. In terms of the acquisition and the price and the valuation, right now I can say that on our side and our teams were laser-focused on the plan. We're laser-focused on the go-to-market. We're laser focused on defining the offer and introducing this into the channel. So at this point, our reserve discussions around the economics in terms of right now, the go-to market, the channel adoption, the business integration between the two firms, us getting out there into Uruguay, a very energetic and passionate team awaits us, and we're going to focus mainly on the go-to-market.
Shmuel Jonas: I mean, now in terms of the valuation, again, I don't think -- I don't think that we paid the lowest priced ever for a call center company. But, I think the fact that they have such a, such a good software and b, that they were already EBITDA positive, was really two driving forces that made us pay what we paid. And as you know, we don't write checks easily and we really thought that this was a great opportunity for net2phone and that's why we went ahead with it.
Marcelo Fischer: Yes. And I think from the perspective of Integra, now they see the combination with UCaaS in net2phone as a great way for them to expand their product portfolio to have a partner in net2Phone to allow them to grow in a way that they on a standalone basis cannot do so right now. So they see it as a great opportunity to partner with us. They will take a portion of the purchase price in equity and they want to be able to ride on the opportunity together with us.
Adam Wilk: Yes, that's helpful. Thanks. I certainly wasn't implying that the price paid was too high, just curious behind the drivers there, so I appreciate that. And I guess a quick follow-on to your commentary is, can we maybe expect moving forward a little bit of that sort of buy and build or buy and integrate as part of the strategy with net2phone, either I guess post spin or is it -- or is this kind of like a one-off for you guys?
Shmuel Jonas: Listen, I think we're always browsing new technologies. I think the Integra acquisition is a great use case where net2phone wants to go to market with new modern technologies in the cloud communications space. Nothing prevents us from browsing. I think the fact that I've noted before in my remarks that we've built this really efficient global UCaaS distribution team and now we're layering in CCaaS. I think there's other experiences that we could focus and concentrate on. But again, our number one focus right now is to continue growing our UCaaS business and our CCaaS business. And I actually think that CCaaS being the top of the sphere of new conversations that we have with enterprise will actually provide a lift rate for our UCaaS business as well.
Marcelo Fischer: Right. And our history in net2phone have been with a combination of both, right. We have made acquisitions in Canada. We have made acquisitions in Spain in growing the business of technology growth internally is now -- it's pretty full right now, and we always have to measure whether we are able to continue to build versus buy. So we've got to get into a mix that makes sense. So buying into CCaaS is that building it with other fab players in terms of devaluation and speed, as well as the fact that our technology roadmap is pretty full right now.
Adam Wilk: Great. That's really helpful. Thanks. Last one from me maybe for Marcelo or whomever. I'm going to push on this a little bit more. Nothing -- no changes with the Straight Path litigation. I'm just kind of curious where you guys stand on wanting -- maybe wanting to get this thing resolved and put behind you obviously the benefit, I guess both parties to come to some sort of settlement. Is there an element of like stubbornness on any one of the size or where do you guys kind of stand on that in terms of trying to get a result?
Marcelo Fischer: So the trial is scheduled for May of this year. If that timing calls, you'll probably expect the decision later in the year. We are vigorously defending ourselves and we are optimistic about achieving a favorable resolution, what would be our disclosures on all -- all of our pending legal matters in our 10-Q. But beyond that as a matter of policy, we really cannot comment on pending legal matters or any strategy around it.
Adam Wilk: Okay. Yes, fair enough. Thank you very much. Great job, and I appreciate it.
Marcelo Fischer: Thank you.
Operator: Up next, we have Daniel Koch from Alta Fox Capital. Daniel?
Daniel Koch: Hey guys, thanks for taking the question. Just quickly on Integra. Can you share a little more color on the growth profile of that business? Is it long-term accretive to the growth profile of net2phone? And then is all of that revenue outside of the U.S. today?
Jonah Fink: Yes. The $3 million in change is pretty much all outside of the U.S. They do have a few U.S. customers though, but pretty much in Central and South Americas where the $3 million sits today. They are already accretive. To your question, I think we made reference to the $1.2 million EBITD. And as -- there're really two prongs to the acquisition approach. One is Integra, being able to continue to grow. They put together some interesting projection discussions there, and now Integra serving the markets, the service provider aspect to it of being able to go and serve the markets that we're in today as well.
Daniel Koch: Got it. But the -- sorry if I wasn't clear. The growth profile of Integra, is that a 30%-plus top-line grower, how should we think about the growth profile of the business?
Jonah Fink: Yes, I think north of that, but yes.
Daniel Koch: Great. And then one last quick one. Historically, net2phone, have you all lost out on convertingly even in deals because you did not have the offering that Integra brings to you?
Shmuel Jonas: Yes. As I mentioned in my earlier remarks, first and foremost, we're taking the temperature of our customers and partners and we're getting active requests for net2phone to add CCaaS to our product portfolio. So absolutely from a win-loss perspective, we have the dashboards. We understand where we missed out on a few accounts and we certainly will start reaching back, but absolutely that's a driving force for why we're adding this product to our portfolio.
Daniel Koch: Great. Sounds like a really nice transaction. Thanks for taking the questions. And good luck in the quarter.
Shmuel Jonas: Thank you.
Operator: [Operator Instructions] As there are no more questions, this concludes our question-and-answer session and conference call. Thank you for attending today's presentation. You may now disconnect.